Operator: Hello, everyone, and welcome to today's Akzo Nobel Q4 and Full Year Results Call. My name is Seb, and I'll be the operator for your call today. [Operator Instructions] I will now hand you over to Jan Willem Enhus, Head of Investor Relations to begin the call. Please go ahead, when you're ready.
Jan Willem Enhus: Good morning, everyone, and welcome to Akzo Nobel's investor update for the fourth quarter and full year 2025. I'm Jan Willem Enhus, Head of Investor Relations. Today, our CEO, Greg Poux-Guillaume; and CFO, Maarten de Vries, will take you through our results. We'll refer to the presentation, which you can follow by webcast or download from our website at akzonobel.com. A replay of the webcast will also be made available following the event. There will be a Q&A session after the presentation. For additional information, please contact our Investor Relations team. Before we start, a reminder of our forward-looking statements disclaimer on Slide 2. Please note, this also applies to the conference call and answers to your questions. I will now hand over to Greg, who will start on Slide 3 of the presentation.
Gregoire Poux-Guillaume: Thanks, Jan Willem. Good morning to everyone on the call. In 2025, we made substantive strides towards a stronger Akzo Nobel. In tepid markets, our progress was rooted in price discipline and the relentless execution of our efficiency programs, resulting in a full year adjusted EBITDA of EUR 1.444 billion, adjusted for ForEx translation and our Indian divestment, this is within 1% of our initial constant currency guidance of [ EUR 15.50 ] given at the beginning of the year. And profitability is at 14.2% which is 40 basis points up versus last year. In Q4, volumes were down 2% year-on-year with price/mix up 1%. Our adjusted EBITDA came in at EUR 309 million or EUR 343 million, excluding ForEx translation and the Indian divestment. This is 7% higher than last year on a comparable basis and corresponds to a 13% margin up 70 basis points year-on-year. Operationally, we achieved net OpEx savings of EUR 98 million year-to-date, EUR 28 million ahead of plan. Free cash flow came in materially higher at EUR 606 million on efficient working capital management. And we reduced leverage to 2x, bringing it in line with our midterm ambitions. Overall, we delivered a banner year in operational execution alongside 2 major portfolio moves, value crystallizing divestment in India and our proposed merger with Axalta, which will reduce costs, boost innovation and accelerate growth. Let's now turn to Slide 4. Q4 volumes were down 2% year-on-year with mixed performance between our segments. Overall, Deco volumes were slightly down at minus 1%. Europe, Middle East and Africa was flat, with growth in the U.K. and a recovery in Turkey, the continued weakness in France. Looking ahead, we expect 2026 to be stable with a European recovery further out. Latin America declined mid-single digits, with Argentina doing well, but Brazil impacted by the BSF disposal. As you know, the Suvinil business was for sale, was bought by Sherwin, but there was a moment of -- there was a moment of lack of leadership of that business, which disrupted the Brazilian market in the middle of the year. But as Sherwin closed the deal and started running the business, this recovered and Q4 was a good quarter for us. Growth will resume in 2026 as Brazil returns to normal trading conditions, which Brazil has already returned to normal trading conditions. So, so far, so good. China delivered low single-digit growth with our business continuing to outperform in a weak market. We expect this to continue in 2026 and for the Chinese market to finally rebound in 2027. Southeast Asia remained mixed with softer demand in Indonesia, more than offset by growth in Vietnam, where momentum is anticipated to remain solid throughout 2026. Let's turn to Coatings now. In Coatings, volumes declined 3% in Q4, primarily due to market pullback in most of our segments in North America. Powder remain impacted by low architectural demand, although Asia continued its strong momentum, stabilization in North America is expected in the second half of 2026. Marine and Protective delivered a slower quarter with growth in yachts, but a lower marine on tougher comps. Market share in dry docking will underpin volumes in 2026, market share gains, clearly, in dry docking for 2026. Automotive and Specialty improved sequentially to flat volumes overall. Aerospace outperformed while Refinish in North America remained at trough. Going forward, low single-digit growth will be driven by a strong Aerospace with a very strong order book and a stabilization in Refinish in the second half of 2026. Industrial Coatings was down mid-single digits. Coil and Wood were in line with markets. Our Packaging business faces a temporary pullback due to an industry technology shift and the delayed approvals of our product. We are planning to lose market share in 2026 because of this, but we will rebound and recover market share in 2027 on new awards. We're convinced we have best-in-class technology. So it's a temporary setback, but we will see a market share erosion in '26 before rebounding in '27 in Packaging. On balance, we expect full year volumes to be broadly flat in 2026. After Q1 with similar conditions to Q4 of last year, we anticipate an improving market trajectory in the second half of the year, particularly in North America. Turning to Slide 5. We closed the sale of Akzo Nobel India Limited at an attractive 25x EBITDA multiple, generating approximately EUR 900 million of proceeds, which showcases that our active portfolio management creates exceptional value. We retained full ownership of our Powder business in India by buying out the minorities and also secured a recurring royalty stream from the liquid coatings assets we divested to JSW. We continue our portfolio review in Asia as per our strategy to focus on leadership positions and to monetize assets that are significantly more valuable to other people than us. So there'll be more disposals in 2026 in Asia. All actions under our SG&A efficiency program were completed by mid-2025. We now expect around EUR 200 million of gross cost savings based on the elimination of 2,900 functional positions. This is EUR 80 million above our initial target, while also delivering a leaner and more focused operating model. Meanwhile, our Industrial Excellence Program continues to gather pace. We've closed 12 sites to date in the last 2 years since the start of the program, all without disruption to the business and while improving service levels. All actions under the Industrial program are expected to be completed by end of 2026. We've got at least 6 more closures planned in 2026, and we're making good progress on this. In short, our programs are driving a leaner cost base, better return on capital and a more focused agile organization. The impact of these programs is detailed on Page 6. Page 6, 2 years into our efficiency journey. I thought it would be helpful to present an overview of the phasing and the benefits of our 2 programs, very much like we did last year. Our SG&A program was fully executed in less than a year. We've achieved EUR 145 million in savings to date with at least EUR 50 million carryover in 2026, which will offset annual inflation alongside other productivity measures. In total, the program will deliver EUR 200 million of gross cost savings, EUR 80 million above the original plan, as I mentioned, with only EUR 50 million higher than originally envisaged cost. So EUR 80 million more value, only EUR 50 million more cost, all of this completed in less than a year, 2,900 positions, a lot of them in Europe. So you can see that we executed and we executed decisively. Our industrial transformation program remains fully on track and will be completed at the end of 2026. The focus remains on footprint optimization, modernization of anchor sites and supply chain consolidation. We expect a benefit of EUR 90 million in 2026 alongside a slightly higher restructuring cost and corresponding cash outflow. With EUR 110 million of carryover benefit in 2027, the program is set to deliver total gross savings of EUR 300 million. If you take the 2 programs together, that's EUR 0.5 billion of cost takeout demonstrating that our self-help is working and delivering a leaner organization with meaningful operating leverage on any volume recovery. Moving to Slide 7. Slide 7 is really a summary because the benefits of our efficiency programs, they're substantial. But sometimes they're obscured by the significant negative ForEx translation over the past 3 years, which does not impact profitability, but does make the reported numbers harder to read. We've tried in this table to isolate the effects with profitability gains in both Deco and Coatings and a more efficient use of capital as highlighted by our working capital improvement. We've made steady progress over the past 3 years, with adjusted EBITDA up 40% or almost EUR 0.5 billion on a comparable basis to 2022. Our progress has been built on price discipline, a leaner organization with greatly improved service levels. This, in conjunction with product innovation, will allow us to capture more than our share of commercial opportunities even in softer markets. The actions already in place will pave our way to achieving our midterm targets and more. And I'll now hand over to Maarten to discuss our Q4 performance on Slide 8. Maarten?
Maarten de Vries: Yes. Thanks, Greg, and good morning, everybody. At the group level, organic sales declined by 1%, with volumes down 2% and a positive price/mix effect of 1%. The divestment of India had a negative 1% impact on revenue for both Deco and Coatings. FX translation further reduced revenue by 6%, resulting in a reported revenue decline of 9%. In Deco, volumes decreased by 1%, primarily driven by LatAm. While positive pricing in EMEA and LatAm was offset by a negative mix, organic sales for Deco were down by 1%. In Coatings, volumes were down 3% reflecting ongoing weakness in North America. Group adjusted EBITDA was EUR 309 million or EUR 343 million at constant currencies and adjusted for the India divestment. The EBITDA margin improved to 13%, up 70 bps compared to prior year. This improvement was due to margin expansion of 240 bps in Deco, supported by structural cost savings. Improvements in Coatings profitability continued to be muted by negative mix, particularly from weaker North America. We delivered another strong quarter of free cash flow totaling EUR 362 million. For the full year, free cash flow reached EUR 606 million, primarily driven by significant improvements in our working capital position. At year-end, trade working capital was 14.7%, a full percentage point below the previous year and within the target range. Importantly, we achieved this while driving our industrial transformation, which requires inventory buildup to support volume redistribution. Return on investment also improved to 13.5%, up from 13.3% last year. And finally, strong cash flow generation, together with the proceeds from the India divestment enabled us to reduce net debt to below EUR 3 billion and our leverage ratio to 2x, in line with our plan. Turning now to our '26 outlook. Looking ahead, based on current market visibility, we don't anticipate a material recovery across our end markets in 2026. A weak first half is expected with the second half helped by easier comparisons. We will remain firmly focused on the implementation of our self-help programs and maintaining strict cost discipline. In 2026, we aim to increase our full year adjusted EBITDA by at least EUR 100 million on a comparable basis, driven by costs rather than volume. Any volume recovery will be a plus. On a reported basis, including a EUR 40 million scope adjustment for the India divestment and an expected further EUR 35 million of FX translation impact, this should translate to a reported adjusted EBITDA at or above EUR 1.47 billion. The EUR 100 million step-up is driven by what we control with the Industrial program contributing EUR 90 million of savings. Carryover of the SG&A program will offset inflation combined with productivity as outlined in the overview table on Slide 6. This provides a solid earnings baseline with any improvement in market conditions translating into potential upside. The first quarter is expected to look a lot like the fourth quarter. Soft volume trends continuing, some efficiency uplift and a negative FX impact of around EUR 30 million. With that, back to Greg for the wrap-up.
Gregoire Poux-Guillaume: Thank you. Moving to Slide 11. On November 18, together with Axalta, we announced a transformative step for both companies, a merger of equals to shape the future of our industry. This compelling combination builds a more resilient coatings leader with enhanced margins and superior cash generation. We see at least [ $600 million ] of cost synergies, and we have the experienced leadership team to execute them with discipline and convert them into a sustainable margin with the robust cash flow. On top of this, we expect revenue synergies to boost gross by 100 to 200 basis points. We'll share more details on this in the coming months ahead of the shareholder votes. By joining forces, we will not only generate significant synergies, but will also create a company that will bring the best of both worlds to our customers, shareholders and employees. Closing is expected late in 2026 or early in 2027. Preparation for the proposed merger are ongoing, but will not deter or distract us from a more core execution agenda as we deliver against our 2026 outlook. I'll now hand over to Jan Willem to close with information about upcoming events and then we'll start the Q&A. Jan Willem?
Jan Willem Enhus: Thank you, Greg. Before we start the Q&A session, I would like to draw your attention to the upcoming events going on Slide 12. We will publish our annual report on February 24. This concludes the formal presentation, and we'll be happy to address your questions. Please state your name and company when asking a question and limit the number of questions to 2 per person so others can participate. Operator, please start the Q&A session.
Operator: [Operator Instructions] Our first one is from Thomas Wrigglesworth from Morgan Stanley.
Thomas Wrigglesworth: Two questions, if I may. First question, on the EUR 100 million EBITDA constant currency growth, could you just help us understand the drivers of that? You've obviously talked flat volumes, but I assume positive mix. There should be a net pricing benefit in there, and then there's also cost savings. So just trying to figure out the moving parts because noting that net pricing environment is relatively positive. That's my first question. Second question, if I may. You touched on the deal there with Axalta. Any further updates on timelines or synergy plans, have you guys been able to at least better understand the potential of the merger since the initial announcement?
Gregoire Poux-Guillaume: Thank you, Thomas. I'll start with the Axalta question. The focus right now is to hit the ground running in terms of the critical path and the critical path of any merger like the one that we're planning with Axalta is the regulatory approvals. We've made really good progress. We're working well together. By the end of next week, the main regulatory filings are in Europe and in the U.S. And the one that's the most time consuming is Europe, very, very heavy detailed document upfront and a process that's a bit longer. So we wanted to make sure that we got it out very quickly. And by the end of next week, we'll have completed all the main filings, including Europe. So we're tracking well from that perspective. And in parallel, we're doing work on detailing the synergy plans and also substantiating the revenue synergies that we want to talk about ahead of the shareholder vote. So all going well. Nothing to report beyond the fact that we're hitting our milestones and making good progress with still the aim to close by the end of 2026. And in terms of the EUR 100 million step-up at -- on a comparable basis in EBITDA, it's essentially based on self-help. It's mostly driven by costs. We're not assuming the volume growth. We're assuming volumes to be flat. It's a crapshoot on volumes. There's a lot of macro uncertainty. We saw some of the reactions this morning from some of you guys that felt this might be a little bit conservative, but there's really not a whole lot to gain by getting ahead of ourselves and volumes at this point. And then I think that your main question is the pricing question, but it's really the margin expansion question. Prices were up for us 1% in 2025. We plan to be priced up again in 2026. But the more important question is how that how the margin expansion works out because it's essentially price minus raws. And if you look at our plan in 2025, we were planning for more pricing, but also higher raws. The raws ended up being lower, which made some of the pricing gains more difficult to achieve. So it's really a question of how the market will unfold in 2026. Right now, it's looking like raws in the first half of the year will be favorable. And in the second half of the year, prices will pick up and now become a little bit unfavorable. The pricing discussions are ongoing and it's about striking that balance with our customers, but we'll be priced up in '26, and we'll expand margins in '26.
Operator: Our next question is from Laurent Favre at BNP Paribas.
Laurent Favre: Two questions, please. The first one, I'm sorry, it's the boring one, but you just mentioned Q1 would be similar to Q4. I just wanted to clarify that I guess, what you meant was on the year-on-year organic development? And then the second one, maybe a little bit more interesting. You mentioned that there would be more disposals in Asian Deco for the year. I'm just wondering, are you thinking about specific areas where I guess you, like in India, don't have leadership? Or are you also considering countries where you do have leadership and are you also considering, I guess, big countries like China where I think the market is a lot more skeptical?
Gregoire Poux-Guillaume: Maarten will take the Q1 question, I'll take the Asia question. We're considering -- we're working. I mean not considering, we're working on more disposals in Deco Asia. It's -- the starting point is always whether we feel that we've got a winning hand over time or whether our business might be more valuable to somebody else. We're not considering exiting China in Deco. It's a good business. It's a business in which the market was really down the last 2 years and everybody suffered. And we're on our way to a recovery. We had a good year in 2025 despite the fact that the market was still going down mid-single digits. In '26, the market will still be going slightly down in China in Deco, but we are planning to continue on our current momentum, and we see a market recovery in 2027. So we're working on improving our business in China and getting ahead of the wave and fully capitalizing on that market recovery. That's our priority for the next few years. Everything else in Deco Asia, we're assessing because once we announced that we were selling India and we closed that, you can imagine that, that generated inbounds. And we have views as to what the right moves are. We're working on some of them, but we don't plan to let the merger with Axalta slow down our momentum on this. We'll execute these moves at the timing whenever they make sense. That's what I'm trying to say. Maarten, do you want to take the Q1 question?
Maarten de Vries: Yes, on your question on Q1. So Q1 sequentially versus Q4 is very much similar. You asked about the organic volume trends similar to Q4 and then the only thing which will differ in Q1 is that there will be additional efficiency gains from the industrial excellence program. And what I mentioned earlier is that the FX translation impact for Q1 will be again at EUR 30 million if you compare that to last year Q1. But Similar to Q4 with a bit of additional efficiency gains.
Gregoire Poux-Guillaume: Laurent, anything else?
Laurent Favre: No. That's it.
Operator: Our next question is from Christian Faitz at Kepler Cheuvreux.
Christian Faitz: Two questions. First, back to China Deco. How long -- it seems to be a price mix problem rather than a volume problem for the time being. How long do you see this negative price mix to continue? Will it improve during '26? And then second question, can you elucidate a bit the situation in Automotive Refinish? Is this business still hampered by people not having their cars repaired because they fear increasing insurance premiums?
Gregoire Poux-Guillaume: Yes. Yes. So China Deco. China Deco, the driver of the market downturn in the last couple of years was the collapse of the real estate market in China, the property developers that went belly up. Construction really dropped significantly in China. That impacted the project side of the business a lot more than the retail side of the business because the retail side of the business is driven by renovation even in China. But although Akzo Nobel had a small presence in projects and is actually the #2 player in retail, we had the knock-on effect of some of our competitors shifting their volumes to -- shifting their capacity to try to gain volume on the retail side. So essentially, that created a little bit of a price war driven by Nippon Paints in -- on the retail side and took the profitability of the market down overall. That volume trajectory still hasn't recovered. That's what I was trying to explain, hasn't recovered for the market. The market was down, I think I said mid-single digits in '25, but I think it was a little bit higher than that. It might have been even closer to high single digits. It's going to be down again, mid-single digits in '26. What's interesting about Akzo is that we've been recovering and we've been rebounding from a profit perspective by essentially capitalizing on our position in premium, where we've been doing well, and we've been actually doing a lot better than the market. So what you're calling a price/mix, it's -- our recovery is being driven by premium. It's still a really competitive market. The price erosion has stopped. And I believe that in the market where there's been a lot of price give back, there are very good reasons for essentially the players in the market to have price discipline going forward, but it's not a market recovery yet. That market recovery is really anticipated for 2027 based on projections of how the real estate essentially development is unfolding in the coming months. So China Deco good for us, not good overall as a market. We expect it to be good for us again in '26, but once again, it's due to our very specific positioning and our ability to win in premium. Vehicle Refinish, Maarten?
Maarten de Vries: Yes. Vehicle Refinish, what we've seen is a continuing of the trend which we've seen in terms of the insurance, the higher insurance premium and a lower kind of softness in vehicle Refinish in North America and in EMEA while, by the way, we see growth in Asia. That trend will, for sure, continue in Q1 and Q2 and is expected to improve in the second half of '26.
Gregoire Poux-Guillaume: Christian, did we answer your question?
Christian Faitz: Yes.
Operator: The next question is from Matthew Yates of Bank of America.
Matthew Yates: I've got a couple that probably for Maarten. First, can you just explain the corporate line in Q4 looked a bit lower than normal, let's say? And then I just had a question around the cash flow. Where you are on working capital now? Obviously, the metrics have improved. Just conscious, is that driven by volumes? Or is that price deflation coming through? I'm trying to understand where your physical stocks are sitting relative to what you need, given that your order book still seems to be going backwards at the moment? And maybe just for Greg, just to come back on the pricing. I'm not entirely sure I understood the answer there. Do you think net pricing is definitely going to be positive in the first half and then the second half remains to be seen given whatever inflation we may or may not get in the raw material basket?
Maarten de Vries: So let me first start with your first 2 questions. On the corporate line, we've seen a bit higher benefits in Q4. Of course, structurally on the back half also our SG&A saving program, but also we had some benefits in pension costs as well as insurance costs. So Q4 was indeed a little bit lower than normal. If you look going forward, in fact, in the past, this line has been roughly EUR 70 million on a total year basis. '25 was a little bit lower. Going forward, you should more think of between EUR 60 million and EUR 70 million. So it is going down, but Q4 was a little bit lower. On the free cash flow, has been very much driven by the working capital takeout, 15.7% at the end of last year, 14.7% at the end of '24, 14.7% at the end of '25. In fact, on inventory levels, the DIO in days were flat versus the end of '24, but it included prebuy of raw materials and also inventory buildup because of the industrial efficiency program, the site closures in the first quarter. So overall, we are happy with the trajectory of inventory but also receivables and payables. And as we said, we will take further actions to reduce working capital. It will be around 14.5% or just below 14.5% at the end of this year.
Gregoire Poux-Guillaume: To your pricing question, Matthew, I wasn't trying to confuse you what I was saying is that '25 was plus 1% price/mix, '26 should not be very different. It's not going to be a whole lot more and I'm pointing out the fact that the last year, the raw environment was projected to be more challenging than it ended up being. This year, raw mats will be favorable in the first half, less favorable in the second. And as you know, a lot of the price increases, particularly in Deco are things that we submit and we negotiate in the first half of the year. So it's really just a question of how quickly we come to a conclusion on that. And a lot of our customers look at price versus raws. So it's -- we'll be expanding, but by how much remains to be seen, and it's not reflected significantly in our margin projections for 2026. So the EUR 100 million is not price heavy. Maarten, did I explain that well? Do you want to add anything?
Maarten de Vries: Not -- maybe some color. I mean the EUR 100 million is very much self-help as we mentioned earlier. You have the EUR 90 million net benefit from initial excellence program. We have the carryover of the SG&A program of at least EUR 50 million additional productivity actions, but those are there to offset inflation because we will see again, wage inflation of roughly 3%. So that EUR 90 million is a net benefit and then -- and that's the main underpinning for the EUR 100 million step-up.
Operator: Our next question is from Tony Jones at Rothschild & Co.
Tony Jones: Tony Jones at Rothschild. I've got 2. Firstly, on cash. With the merger still on track, can you update us on the share repurchase? I think it's EUR 400 million post the India sale. I understand the approvals in place. So can we assume that's front-loaded into the first half of '26? And then secondly, some of your peers have started to indicate where we are in a refurbishment cycle and how they're planning for that. How do you see Akzo's position?
Gregoire Poux-Guillaume: The first question, I think, is a slight misunderstanding. When we announced the merger, we announced that both companies were suspending share buybacks. So the EUR 400 million share buyback at Akzo is not happening. But what's happening is that we're returning EUR 2.5 billion to our shareholders at closing to reflect the -- to get to the announced parity. So you're not getting the EUR 400 million as a share buyback upfront, but you're getting the EUR 2.5 billion if we proceed according to plan towards the end of the year as we close the transaction. The second question...
Maarten de Vries: The EUR 2.5 billion, just to be clear, includes the regular dividend.
Gregoire Poux-Guillaume: Yes, includes the regular dividend.
Maarten de Vries: During the year.
Gregoire Poux-Guillaume: And the second question was...
Maarten de Vries: What was your second question?
Tony Jones: Refurbishment.
Gregoire Poux-Guillaume: I don't understand. What do you mean by the refurbishment cycle?
Tony Jones: Yes. Some of your competitors have started to talk about extended volume cycles. So things like remodeling activity in certain countries or regions. Do you have a perspective on it?
Gregoire Poux-Guillaume: No. We don't really have anything intelligent to say on this. I think it's -- it's a -- I mean it's a well known. I don't know if I can call it well known, but it's a normal kind of behavior pattern, which is that when the Deco market is driven by consumer confidence and when consumer confidence goes down, there's always been this philosophical debate of will customers paint less or will they paint with cheaper products. And what we've demonstrated over the last few cycles as it relates to Akzo is that we don't see a lot of trading down. So consumers are not shifting to cheaper products, but they have a tendency to space out the repainting. And -- but that's a confidence down scenario. I think consumer confidence has been recovering. So we're not seeing any specific spacing out of repainting or renovations in homes. This is not an effect that will -- this is not an effect that we'll use as an excuse for anything.
Operator: Next question is from Chetan Udeshi with JPMorgan.
Chetan Udeshi: I had a couple of questions. First, just going back to the comments on Q1 sort of outlook. And I just wanted to clarify, typically, we see some seasonal uplift in Q1 versus Q4, it could be like 4%, 5%. Are you suggesting we won't see that? Or were your comments more from a year-on-year perspective being similar to what you saw in Q4, but we should still see some sequential improvement, I suppose, in Q1 versus Q4? That's the first question. The second question was one of the drags on volumes over second half of last year at Akzo, but also your competitors have the U.S. weakness and we saw yesterday the manufacturing ISM print was very, very strong for month of Jan. And I was just curious if you've actually seen that reflect at all in your orders in the U.S.? Are you seeing any uplift in your order book in the U.S. that we saw come through in the ISM index print?
Gregoire Poux-Guillaume: I'll take the second question. It's a bit early to talk about a rebound in the U.S., but in one of our coating businesses for which I do have the numbers for January, they're in line with what we were expecting in January, which is a good sign because sometimes there's a end of year effect where people are slow to get out of the starting blocks in January. It seems to be progressing according to plan. But it's really too early, Chetan, for us to read signs of an impending rebound in the U.S. from that. We're still expecting that the first half will be soft in general. Maarten, do you want to answer the other question?
Maarten de Vries: Yes, on the other question, I mean Q4 and Q1 are traditionally the smaller quarters. And what we commented on is that we -- if we look sequentially, Q1 looks a lot like Q4. I commented earlier on the volume trajectory. And I also commented on the fact that we will see some of the efficiency actions coming through in Q1, which is then on top of Q4, but overall, similar trends.
Gregoire Poux-Guillaume: Chetan, anything else?
Chetan Udeshi: Got it. No, that's fine.
Operator: Our next question is from James Hooper with Bernstein Societe Generale Group.
James Hooper: I kind of got one question, two parts. I just wanted where -- how do you see your market share has changed over 2025, Greg? I know you referenced packaging on the call. But there's also been some positive commentary out of some of your peers, for example, around auto refinish. And then around that, obviously, you've made -- you've shown on the slides you've made a lot of progress in the last few years on the cost side. But is there kind of now kind of -- is this the time for a more similar plan on the revenue side? Because if we compare your organic growth to peers, it's been slightly below not just fourth quarter, but also through 2025 as well.
Gregoire Poux-Guillaume: The organic growth to peers, if I benchmark with PPG, they had a much better order in Q4 than we did. But overall, if I take the last 18 to 24 months, I'm pretty sure that if you benchmark the numbers, you'll see that we grew faster than they did. So I don't think we're at disadvantage to peers. I do think there's -- I do think PPG had a better quarter in Q4 from that perspective. But you take the quarters in isolation, it's really hard to reach any conclusion. But once again, I don't think this is -- I don't think we're growing less than comparable companies. I think we've actually been doing a little bit better from that perspective. But your point is still correct, though. It's -- we've done a lot of work on costs that positions us to be very competitive as the market picks up. We haven't been trying to gain market share at the expense of pricing. So the combination of the cost takeout and the price discipline has been more about margin expansion than it has been about using price to gain volume. If I take your market share question, Vehicle Refinish, we're not losing market share. I think these comments from peers were probably inelegant cryptic comments about companies getting sold and being distracted and the other guys picking up the pieces while the company is getting distracted, but it wasn't an Akzo comment. We're fine from that perspective. Packaging is a very isolated issue. It's linked to a product introduction. You've got approvals. We were more ambitious in the product development, but that ambition led us to be a little bit late to the party in terms of getting the approvals. The approvals are all happening. There's no technical issue linked to that. It's just that it put us at the back of the queue. And therefore, it leads to a market share drop for 12 to 18 months, a bit of last year and most of '26 and then a recovery in '27. It's not ideal, but it's a temporary thing, and it's -- and we're very confident about the quality and the performance of our product. And on everything else in powder, I think we've been gaining market share if I look at our performance versus everybody else. In, let's see, what can I comment? In Marine Protective, clearly, we've been gaining market share. We've been recovering the last few years and our trajectory is very much a market share positive trajectory. And I made the comment that our growth in Marine in '26 was based on the dry docking market share gains. And in Deco, we've been gaining certainly in Latin America. I know we gained market share in Colombia this year. Brazil was a weird year because of the Suvinil effect, as I explained. But I think Q4 was the first quarter where Akzo Nobel had a higher customer recognition than Suvinil in the retail market, knowing that historically, Suvinil was a leader. So that tells you that our trajectory is pretty good. And in Deco in Europe, if you take the U.K. market, which is a really large market for us, our second largest customer went bankrupt last year, Homebase. And despite that, we're -- we didn't lose market share in 2025, which is really an incredible achievement if you think about it because what it means is that. Because by the way, we were over-indexed in Homebase. Homebase had a very premium paint segment, so we were over-indexed and we were essentially -- our market share in Homebase was higher than our market share overall in the U.K. And despite Homebase disappearing and some of the stores getting closed and some of them changing formats, we maintained our market share in the U.K., which means that people were not buying at Homebase. They were buying Dulux. And when Homebase went away, people bought Dulux but somewhere else, which I think is an incredible reflection of the strength of the brand. So now from a market share perspective, we feel comfortable apart from the packaging points, which is a temporary issue that I pointed out. We feel comfortable that we are either defending or in the areas I've mentioned gaining. But once again, in a market that doesn't have whole lot of direction and has a lot of softness, you have to decide whether you're willing to compromise on price in order to gain volumes. We clearly have competitors. If you take the powder market, we have competitors who are playing a price game right now. And some of those are competitors that I've mentioned in this long-winded answer. So it's -- different people have different game plans. Ours is to expand margins and that's what we'll continue to do. And then the volumes will come, but it's not -- our first priority is not volumes. We certainly want to defend our positions but we will grow only if that growth that comes with really strong price discipline. Hopefully, I answered your question.
James Hooper: Yes, thank you. Very comprehensive answer.
Operator: Our next question is from Stefano Toffano with ABN AMRO and ODDO BHF.
Stefano Toffano: Maybe just one question on the market share. I mean, a very comprehensive answer, so thank you very much for that. But I mean, looking at the results, I think, if I'm not mistaken, and please correct me if I'm wrong, this is the first negative organic growth quarter since, I believe, Q2 2020 according to my model, unless I made some mistake. But it does -- I mean, do I read too much into that? Because again, one of the first ideas here is yes, maybe you're focusing internally on the margin, et cetera, and not at the expense of some overall market share. So maybe if you can comment a little bit on that. Second one, on working capital, I noticed that the midterm guidance for the working capital has been notched up a little bit to 13% to 14% and it was 13%. I was wondering what the idea was behind that. Last question, and just a technical one. If you can please remind me how much India adjusted EBITDA was in 2025?
Gregoire Poux-Guillaume: Okay. Your first question, I gave a really long-winded answer the first time around. I'll give a really short one. Yes, you're reading too much into Q4. It's a small quarter. There's no valid extrapolation from that one data point. And as you rightly pointed out, the direction has been pretty consistently the other way around for the last few years and therefore, no, we're not dropping market share. I commented very transparently on packaging. A lot of companies would dance around these issues. Look, at the end of the day, it's -- sometimes you're first out of the gate, sometimes you're not first out of the gate. And it's important to understand how that unfolds. But overall, we've had good momentum in a soft market. And once again, we're not arbitrating in the way you're implying. So I said it would be a short answer and then I can't resist giving you a longer one, but yes, you're reading too much. Working capital? Maarten?
Maarten de Vries: On working capital, yes, our original guidance, which we gave 2 years ago was around 13%. We are saying now more in the range of 13% to 14%. I think it's also a reflection that the world is changing. And it's better to have a little bit more inventory, especially given the volatility in the markets and the tariff situation. So things have changed. But overall, we are on our improvement trajectory from working capital levels, which were 17%, 18%, coming now to 14.7%. And getting by '27 to that range of 13% to 14%. So -- and it's very much also benefiting on the back of our industrial efficiency program, where we are optimizing our footprint but also our supply chains. So that's on the working capital. On India, and what we've said earlier is that compared to '25, you need to correct for EUR 40 million downwards. And the impact in December was EUR 6 million. So the total correction on adjusted EBITDA level is EUR 46 million, of which EUR 6 million sits already in December '25 and then '25 to '26, a correction of EUR 40 million.
Gregoire Poux-Guillaume: I think this was the last question. Thanks a lot. We'll wrap up because you guys have a busy day. It's -- Q4 was -- Q4 was a soft quarter in terms of market momentum but it was a strong quarter in terms of execution as was 2025. We end the quarter and we end the year price up, profit up, cash up, so we're executing on what we can control. Once again, we're staying disciplined and we're working full speed ahead on getting to closing with Axalta as quickly as possible and targeting the end of 2026. And at least in this early phase, hitting our milestones to get there. So that's all I have for you today. I thank you for your time and your interest, and we'll talk to you soon. Thank you.